Operator: Good day, and welcome to the OFS Capital Corporation Second Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Steve Altebrando for opening remarks. Please go ahead.
Steve Altebrando: Good morning, everyone and thank you for joining us. Also on the call today are Bilal Rashid, our Chairman and Chief Executive Officer; and Jeff Cerny, the company's Chief Financial Officer and Treasurer. Before we begin please note that the statements made on this call and webcast may constitute forward-looking statements as defined under applicable securities laws. Such statements reflect various assumptions, expectations and opinions by OFS Capital Management concerning anticipated results are not guarantees of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are in some way beyond management's control, including the risk factors described from time to time in our filings with the SEC. Although we believe these assumptions are reasonable, any of those assumptions could prove inaccurate and as a result, the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on these forward-looking statements. OFS Capital undertakes no duty to update any forward-looking statements made herein, and all forward-looking statements speak only as of the date of this call. With that, I'll turn the call over to Chairman and Chief Executive Officer, Bilal Rashid.
Bilal Rashid: Thank you Steve. Earlier this morning we announced our second quarter earnings. Our net asset value per share increased by 3.9% to $11.51 up $0.43 from the prior quarter. While the current interest rate environment remains uncertain, we believe that we continue to benefit from our balance sheet positioning with 72% of our debt being fixed rate and 92% of our loan portfolio at fair value being floating rate. Our net investment income for the quarter decreased from $0.42 per share in the first quarter to $0.26 per share this quarter. As you recall the net investment income from last quarter reflected certain non-recurring items, including significant non-recurring dividends from two of our equity investments. This quarter's net investment income primarily reflects the impact of our delevered balance sheet which Jeff will discuss in more detail. That being said we’re focused on increasing our net investment income primarily by converting certain non-interest earning equity positions into interest earning assets, as we mentioned on our last call. In that regard, we’re continuing to explore alternatives for our minority equity investment in Pfanstiehl, our largest equity position. The fair value of the position rebounded this quarter, appreciating by $7.8 million to $70.8 million at quarter end. The improvement in value is in part attributed to an upswing in fundamental performance following a recent trough. As a reminder, this is a position we invested in more than 10 years ago at a modest cost of only $200,000. To-date, we have received approximately $3.4 million in distributions or approximately 16 times our cost. Turning to our portfolio. We believe it is well positioned for the current macroeconomic environment. As part of our long-standing investment discipline, we remain committed to avoiding highly cyclical industries. We believe that our loan portfolio remains well-diversified and defensively positioned. At quarter end, our largest sector exposures at fair value are in manufacturing, healthcare, wholesale trade and business services. Another key part of our investment discipline is investing higher in the capital structure with approximately 100% of our loan portfolio at fair value and first-lien and second-lien senior secured loans. In terms of new originations, M&A activity remains subdued though we anticipate an increase in activity later in the year, as we get more clarity on interest rates. In the meantime we remain active in supporting our existing portfolio companies. In our view our financing continues to benefit our company. At the end of the second quarter, 100% of our outstanding debt matures in 2026 or later, and 72% of our outstanding debt is unsecured. Our non-recourse $150 million senior loan facility with BNP Paribas matures in June 2027. Our corporate line of credit is flexible with no mark-to-market provisions. As we have discussed before, we locked in $180 million of fixed rate unsecured debt in 2021, bearing a weighted average coupon of 4.8% which is notably lower than current market pricing. As we navigate this market environment, we have confidence in the experience of our adviser, which manages approximately $4 billion across the known and structured credit markets, has expertise in multiple asset classes and industries, and has a more than 25 year track record through multiple credit cycles. At this point, I will turn the call over to Jeff Cerny, our Chief Financial Officer to give you more details and color for the quarter.
Jeff Cerny: Thanks, Bilal. Good morning, everyone. As Bilal mentioned we posted net investment income of $0.26 per share for the second quarter which was down from the first quarter primarily due to two factors; first, we received certain nonrecurring dividends in the first quarter from a couple of equity investments; and second, we continued to delever our balance sheet, resulting in a smaller asset base. Our GAAP leverage ratio has decreased from 1.87 times at December 31 to 1.62 times at June 30. Our current distribution rate represents a 15.3% annualized yield based on the price of our common stock at quarter end. We also announced that our quarterly distribution will remain at $0.34 per share for the third quarter. We are keenly focused on improving net investment income and once again exceeding our distribution rate. As Bilal discussed, we are actively exploring alternatives to monetize some noninterest-bearing investments, specifically our minority equity stake in Pfanstiehl to increase our net investment income. Our net asset value per share increased by approximately $0.43 this quarter. This increase was primarily due to unrealized depreciation in certain segments of our investment portfolio, most notably our minority equity position in Pfanstiehl Holdings and certain CLO equity positions. We had no new non-accruals this quarter, and we believe the overall quality of the portfolio remains stable, 4.6% of our total investments at fair value were on non-accrual status at quarter's end. Turning to the income statement. Total investment income was down approximately $3.1 million to $11.2 million this quarter. This was largely due to the factors I previously mentioned, including the nonrecurring dividends of approximately $2.4 million received in the first quarter as well as the smaller asset base driven by repayments as we delevered the balance sheet. Our regulatory asset coverage ratio stands at 162% at quarter end. Total expenses were down 10.5% during the period to $7.7 million primarily due to a decrease in interest expense related to our lower average outstanding debt balances from delevering activities I just mentioned, as well as the result in lower base management and incentive fees. As I mentioned net investment income was $0.26 per share for the second quarter. In addition to our intentions to increase net investment income we believe that our balance sheet positioning was beneficial this quarter given that 92% of our loan portfolio at fair value is floating rate while approximately 72% of our outstanding debt is fixed rate. It is also worth noting that at quarter end all of our outstanding debt matures in 2026 or later, and approximately 72% of our outstanding debt was unsecured. Turning to our investments. We believe the overall performance of our portfolio companies remains relatively stable compared to last quarter despite this uncertain macroeconomic environment. We are committed to being senior in the capital structure and selective in our underwriting. We remain cautious about new originations and M&A activity remains slow. We continue to work with our portfolio companies as they identify add-on opportunities for growth. As of June 30, we had $8.9 million in commitments under various credit facilities to fund investments to our portfolio companies. The majority of our investments are in loans, and approximately 100% of our loan portfolio at fair value was senior secured as of June 30. Based on amortized cost as of quarter end our investment portfolio was comprised of approximately 69% senior secured loans, 1% subordinated debt, 23% structured finance securities and 7% equity securities. At the end of the quarter, we had investments in 68 unique issuers totaling $398.2 million on a fair value basis. The weighted average performing investment income yield on the interest-bearing portion of the portfolio, improved slightly to 13.4%, which is up about 0.4% quarter-over-quarter. This includes all interest prepayment fees and amortization of deferred loan fees. With that, I will turn the call back over to Bilal.
Bilal Rashid: Thank you, Jeff. In closing we believe our portfolio remains solid with no new nonaccruals in the quarter. We are focused on increasing net investment income in the coming quarters, specifically by pursuing the sale of certain non-interest earning equity positions and redeploying the proceeds into interest earning assets. Our focus remains on capital preservation with approximately 100% of our known portfolio at fair value being senior secured, and we remain confident in the overall quality and fundamentals of our portfolio. We have relied on our long-standing experience and investment discipline, which we believe has served us well. Since the beginning of 2011, the BDC has invested more than $1.9 billion with a cumulative net realized loss of just 2.7% over the past 13 years, while generating attractive risk adjusted returns on our portfolio. We believe our business is especially equipped to navigate this market successfully due to the size, experience and reputation of our adviser. With a $4 billion corporate credit platform affiliated with a $29 billion asset management group, our adviser has broad expertise including long standing banking and capital markets relationships. Our corporate credit platform has gone through multiple credit cycles over the last 25 plus years. Our adviser and affiliates are also strongly aligned with shareholders as they maintain an approximately 23% ownership in the company. With that operator please open up the call for questions.
Operator: